Operator: Good day everyone. My name is Todd and I will be your conference Operator today. At this time, I would like to welcome everyone to the fourth quarter 2022 Li-Cycle Holdings earnings call and webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. If you would like to ask a question at that time, please press star, one on your telephone keypad. If you should need operator assistance, please press star, zero. Thank you. I will now turn the call over to Nahla Azmy, Head of Investor Relations. Please go ahead.
Nahla Azmy: Thank you. Good morning and thank you everyone for joining us today for Li-Cycle’s review of our fourth quarter and year 2022 results ended October 31. We will start today with formal remarks from Ajay Kochar, co-Founder, President and Chief Executive Officer; Debbie Simpson, Chief Financial Officer, and Tim Johnston, co-Founder and Executive Chairman. We will then follow with a Q&A session. Ahead of this call, Li-Cycle issued a press release and a presentation which can be found on the Investor Relations section of our website at investors.li-cycle.com.  On this call, management will be making statements based on current expectations, plans, estimates and assumptions which are subject to significant risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect, including because of factors discussed in today’s press release, during this conference call, and in our past reports and filings with the U.S. Securities and Exchange Commission and the Ontario Securities Commission in Canada. These documents can be found on our website at investors.li-cycle.com. We do not undertake any duty to update any forward-looking statements, whether written or oral, made during this call or from time to time to reflect new information, future events or otherwise, except as required. With that, I’m pleased to turn the call to Ajay.
Ajay Kochar: Thank you, Nahla, and good morning, everyone. It has been a phenomenal year for Li-Cycle and our team. We continue to be very excited by the growth opportunities we see ahead and remain laser focused on the execution of our spoke and hub network.  Beginning on Slide 3, covering key achievements from the past year that position Li-Cycle as a preferred global battery recycling partner, in North America with four spokes in operation, we grew our total processing capacity by nearly three times versus the prior year. In Europe, we made strategic strides, having advanced development at key commercial sites. At our Rochester hub, we made significant progress on engineering, procurement and construction, keeping us in line with our targeted budget and schedule. We are reiterating that we expect commissioning to commence in late calendar 2023, beginning to expand and diversify our customer base within the battery material supply chain, including notable multi-year commercial arrangements with strategic global participants LG and Glencore, and we further strengthened our balance sheet with the receipt of $250 million from strategic partners and have significantly progressed meaningful debt financing alternatives in support of our future network growth. Moving to Slide 4 for our fourth quarter highlights, we continue to enhance the company’s foundation on the financial, commercial and operational fronts. Financially, we ended the quarter with approximately $578 million of cash on hand. We continue to time our capital investing needs with advancing the development of key projects. Importantly, we’ve made significant progress towards securing meaningful debt financing and expect to provide more details in the first calendar quarter. Commercially, we continue to expand our sources of battery materials through meaningful multi-year commercial relationships with key global customers, including a global strategic recycling partnership with VinES, a leading Vietnamese battery manufacturer, and more recently we entered into multi-year agreements with top tier global EV and battery OEMs to recycle battery materials in Europe and North America. Operationally, our fourth quarter black mass production exceeded 1,600 tons, reflecting a sequential increase of more than 70%. Arizona and Alabama are ramping to target throughput. Importantly, we have advanced construction at the Rochester hub on key engineering, procurement and construction milestones. Turning to Slide 5 for a review of our strategy to be the preferred global recycling partner with a leading domestic supply position in North America and Europe with strong commercial connectivity to Asia. We continue to align our network expansion plans with the highest growing demand centers nearing customer timing. We remain highly disciplined on capital allocation with our investment in each project underpinned by multi-year and diverse commercial contracting, and we maintained a strong project pipeline providing us the flexibility to shift with market and customer demand. Turning to Slide 6 for a look at our total addressable market, or TAM for lithium-ion batteries available for recycling in our focus regions, as well as Li-Cycle’s progress in capturing this growth. As mentioned earlier, we continue to add to our portfolio of customers across the entire battery supply chain, including battery, EV, energy storage OEMs, as well as traditional recyclers.  As we’ve noted on previous calls, we are battery chemistry and form factor agnostic. This advantage combined with growing operational capacity in North America has enabled us to meet customer demand for recycling needs, which has driven both volume and mix of supply.  Specifically, as illustrated on the left, in fiscal 2022 we saw an increase in recycling needs for energy storage batteries from retooling and EV battery packs from recalls. Depicted on the right are the TAM trends for our current focus regions for 2025 and 2030, which reflect accelerating growth potential for manufacturing scrap and end-of-life EV batteries.  In summary, we are very well positioned to capitalize on these strong market fundamentals.  I’d now like to hand it off to Debbie for a discussion of our financial results.
Debbie Simpson: Thank you, Ajay. I will provide a more detailed discussion of our quarterly and full year results, specifically regarding black mass production, revenues, adjusted EBITDA, and cash flow. Additionally, I will provide an overview of future reporting and timing on outlook. Turning to Slide 7 for black mass production, we continued to generate higher product sales volumes due to the ramp-up of operations in our spoke facilities, with the Arizona spoke coming online in the latter half of the year and the Alabama spoke right at the end of the year. As a result, production of black mass was 1,640 tons in the fourth quarter and a total of 4,023 tons for the year, which came in higher than the top end of the revised 12-month guidance. Having completed scheduled maintenance and processing upgrades, which Tim will discuss later, we’re estimating a range of 850 tons to 900 tons of black mass production for the two months, November and December of ’22 stub periods.  Turning to Slide 8, our revenues are impacted by market prices of metal contained in our products, notably cobalt and nickel, and with no value attributed to lithium content at this time as we continue to sell black mass as an intermediate product. As a reminder, aligning with our contracts and IFRS reporting requirements, we recognize revenues on product sales at the point of delivery to our customers based on product sales volume and prevailing market metal prices. Our customers take title to the materials and we retain pricing exposure until the related receivable is fully settled. As a result, fair market value adjustments are booked to revenue until fully settled.  For the quarter, we sold 1,302 tons of black mass, an increase of 210 tons from the corresponding period in 2021. Revenue was $3 million compared to $4.4 million for the same period last year. The primary driver of the decline in revenue and the change in fair market value pricing adjustment was a decrease in commodity prices for cobalt, offset by a small increase in nickel prices. For the full year, we sold 3,679 tons, which was more than double the 2021 level of 1,824 tons. Total revenue was $13.4 million compared to $7.3 million in the prior year. The increase in product revenue was primarily attributable to increased production of black mass due to ramp-up of our operations at the company’s spoke facilities, with both the Arizona Spoke and the Alabama Spoke coming online. Revenue was negatively impacted by a cumulative non-cash fair market value adjustment of $2.2 million as compared to fair market value gain of $800,000 in the comparable period last year. Turning to Slide 9. For the quarter, adjusted EBITDA loss was $32.6 million compared to $11.7 million in the same period in 2021. This was largely related to growing volumes offset partially by lower metal prices and increases in raw material costs. Additionally, production costs inclusive of raw materials and conversion costs exceeded the net realizable value of black mass, leading to inventory write-downs of $3.8 million. The net realizable value of black mass inventory is based on cobalt and nickel content with no value assigned to lithium. Finally, as we continue to support the expansion of our global network, particularly the Rochester hub, we incurred higher employee compensation for operational, corporate, commercial and engineering resources.  For the full year, adjusted EBITDA loss was $100.7 million versus $26.2 million last year. Similar to our fourth quarter results, this was largely attributable to higher costs associated with the ongoing expansion of our operations in North America, as well as the impact of net realizable value inventory write-downs of $4.8 million. Turning to Slide 10, I’d like to cover our planning and strategy for our growing black mass production. As we have discussed on prior calls, black mass sales, our near-term bridge, are an intermediate sales product in the lead-up to the commencement of operations at our Rochester hub. It will then serve as a feed source to the hub. Over the course of 2023, we will strategically start to build a black mass inventory for processing at the hub. Turning to Slide 11, another important rationale related to black mass inventory build is to monetize the significant lithium value embedded in black mass. Currently black mass has no lithium payable under our current sales contracts. Here, we show the opportunity cost or value upside, assuming current end-of-period market prices for lithium, which is meaningful. Turning to Slide 12 for a review of the strength of our balance sheet and liquidity, Li-Cycle ended the year with approximately $578 million of cash on hand. As Ajay mentioned, we enhanced our balance sheet during the year with $250 million in combined investment proceeds from LG and Glencore. During the fourth quarter, cash uses included capital spend of approximately $60 million with the majority allocated to securing equipment for the continued construction of our Rochester hub. Our operating expenditures also rose by about $9 million in support of the global network expansion. Looking ahead, future major change drivers of cash include capital investment and operating expenditures to support network growth, our black mass inventory optimization strategy, and finally and importantly, meaningful debt financing for future growth capital. We plan to provide an update in the first calendar quarter of 2023 on financing alternatives. Moving to Slide 13 to review our future reporting timelines and plans for providing additional guidance, as we announced in late December, Li-Cycle will change its fiscal year from end of October to a calendar year end. As a result, in late March we will file a transition report that will provide financial statements for the two month stub period covering November and December 2022. With this earnings report, we plan to provide guidance on key metrics for calendar ’23. In mid-May of this year, we will report our first quarter results for the period ended March 31. I would now like to hand it off to Tim for an update regarding the spoke network and Rochester hub.
Tim Johnston: Thanks Debbie. Turning to Slide 14, the driver of the significant TAM is the increasing demand by battery and electric vehicle manufacturers in North America and Europe for worthwhile supply. As shown on the right side, the TAM potential is driven by planned mega-factory investment with capacity expected to grow by nearly 5 and 10 times by 2025 and 2030, respectively. This dynamic is driving many global supply chain participants to lock in commercial recycling arrangements, which we expect to continue to benefit Li-Cycle as we expand our network capacity. We are strategically growing our global commercial position and network reach by locating our facilities near high regional demand centers and mirroring customer timing. Li-Cycle’s sustainable and scalable technology enables us to move flexibly and quickly to meet our customer needs. Turning to Slide 15 for a discussion of the planned total processing capacity of our spoke network, today I would like to provide an update on the continued innovation of our spoke processing technology which has evolved over three generations of design. With each subsequent spoke roll-out, we are incorporating design upgrades to match our customers’ growing volumes and mix of battery materials.  By way of background, our initial capacity was focused on our patent-protected submerged shredding technology, which is referred to here as the main line capacity. This is specifically for battery materials that contain electrolyte and have a risk of thermal runaway. More recently, we have added ancillary processing lines that include dry shredding, processing materials that don’t contain electrolyte and therefore are at less risk of thermal runaway, such as electrode foils. Powder processing processes electrode powders to minimize dusting in downstream processes, and baling processes electrode foils into form queues for optimizing logistics and downstream processing. In summary, the existing and planned development, we expect total processing capacity to be more than 95,000 tons per year.  As we continue to build upon the first mover advantage, you should expect that we will focus capital allocation to projects that enable us to adapt and grow with commercial demand.  Turning to Slide 16, our North American operational spoke capacity totals more than 50,000 tons per year and is distributed across North America in key strategic growth regions. Starting with an update on Ohio which was originally planned for 2023, we are deferring this site capacity as we look for operational efficiencies to consolidate our processing capacity with growing multiple customer needs. Our Ontario spoke is a generation one spoke that was constructed in 2020. We are now working on plans to develop a new generation three spoke and warehouse facility in Kingston, Ontario to replace the existing site, with the initial site work expected to commence in 2023.  At our generation two New York spoke, we’ve recently completed improvements which included upgrading the main line and the addition of baling to supplement the ancillary capacity, which now provides up to 18,000 tons of processing capacity per year. In 2022, we operationalized the Arizona and Alabama spokes. Both are generation three spokes incorporating multi-stage shredding with full pack shredding capabilities. These plants have their optionality for [indiscernible] main lines and flex capacity with ancillary processes. Our Arizona spoke is up and running as expected and benefiting from our recent optimization projects, underpinning a significant increase in our fourth quarter production. Moving to Slide 17 for Alabama, the warehouse seen here was designed with significant capacity to safely handle and store all types of battery materials, particularly the increasing demand for the processing of full electric vehicle battery packs. As discussed earlier, we are seeing significantly growing volumes and an increased mix of battery materials from OEMs and battery producers.  Turning to Slide 18 for a look at the Alabama spoke’s processing activity, this site became fully operational in late October following the implementation of learnings from the Arizona spoke. This facility is operational with high quality talent from the automotive and battery industry and is ramping to target throughput processing all types of lithium-ion batteries.  Turning to Slide 19 for an update on the construction of our Germany and Norway spokes, Germany represents the largest market for both battery manufacturing scrap and the expected supply of end-of-life lithium-ion batteries in Europe. The country’s battery ecosystem continues to grow with leading players in the electric vehicle industry establishing operations throughout the country, providing a high density of battery and electric vehicle manufacturing facilities.  On our last earnings call, we noted that we would take a staggered approach to the start-up of our spokes in Germany and Norway. While this remains the plan, in the near term we are re-directing the equipment from Norway to double up the mainline capacity in Germany. This German spoke will also have an additional 10,000 tons in ancillary processing for total capacity of 30,000 tons per year. Our decision to expand total capacity at our German spoke is driven by the recent increase in successful contracting with global top tier battery and electric vehicles OEMs in the region. In line with this, we are re-timing our Norway spoke from 2023 to 2024. In the interim, we will continue to develop the Norway location initially as a battery consolidation facility. Turning to Slide 20, the Rochester hub is expected to be the first commercial hydrometallurgical battery resource recovery facility in North America and positions Li-Cycle as a leading domestic supplier of battery-grade materials. As a reminder, as a key input for the definitive feasibility study that was completed in December of 2021, Li-Cycle constructed and operated a large pilot plant in Kingston, Ontario for approximately one year, providing a strong technical basis for the plant’s future operations. This includes testing and qualifying battery-grade materials such as lithium carbonate, nickel sulfate and cobalt sulfate for key customers in the global battery supply chain. Turning to Slide 21 for an aerial view of the Rochester hub as of mid-January, as you can see, significant construction progress has been made since our last update.  Turning to Slide 22 for more details on the key engineering, procurement and construction milestones. To reiterate, a key part of our strategy was to accelerate the procurement of long lead equipment and construction materials. This has proven to be a strategically significant advantage to maintain the project’s schedule. Specifically, key milestones include achieving nearly 75% completion of the warehouse and associated administration center for the storage of black mass and finished battery-grade materials; progress with the construction of the cobalt, nickel and manganese processing buildings; largely completing civil works as well as underground utilities and electrical infrastructure; more than 90% of equipment has now been procured and we’re nearing 65% completion on detailed engineering for the project. We are on track with our project budget and schedule. We are reiterating that we expect to commence commissioning in late 2023.  Turning to Slide 23, I would like to close with recap. We are incredibly proud of what the Li-Cycle team has accomplished in 2022, building strong momentum for our spoke and hub business for 2023 and beyond. We continue to competitively position Li-Cycle to be a preferred recycler and domestic supplier of critical battery-grade materials. We are growing and diversifying our portfolio of commercial partnerships, capturing the benefit of a robust battery supply chain and positive regulatory support, and we look forward to providing a progress update and details on debt financing in our 2023 outlook in the first calendar quarter. That concludes our formal remarks. Operator, we are ready to take questions.
Operator: [Operator instructions] We’ll take our first question from PJ Juvekar with Citi.
PJ Juvekar: Yes, good morning. A couple of questions. Congratulations on your spoke start-ups.  Going over to Europe, obviously you’re prioritizing Germany there with your very large spoke. How much of the current input is contracted, and also the same question about the output?
Ajay Kochar: Hey PJ, good morning, it’s Ajay. That’s a good one for Tim to answer, so I’ll turn it over to him.
Tim Johnston: Yes, no problem. Good morning, PJ. We typically don’t provide plant-by-plant details in terms of utilization. I think the message is clear, however, that we were going to be short capacity with a single line, and so we saw the need to accelerate the second line, and we expect to have that installed and commissioned this year.
PJ Juvekar: In terms of your hub operations that you’re building in New York, has there been any changes to the design or flow process as compared to what you had in Canada? Then there are some new companies popping up in recycling, battery recycling. Obviously, you guys have the first mover advantage, but is there any other types of chemistries or processes that we should be aware of to keep an eye on?
Ajay Kochar: Yes, so Tim will take the first one, PJ, and then I’ll take the second one.
Tim Johnston: Yes, so PJ, in essence the process design hasn’t changed since we had developed the process in Kingston. If you think back to what was our objective, our objective was to utilize metallurgical principles that have existed in the primary industry and bringing them together in a novel way. From our perspective, the flow sheet that we’ve designed is both robust from a technical perspective but also very well suited from an economical perspective to process black mass from lithium-ion batteries. 
Ajay Kochar: And competitively, to your question, PJ, yes, broadly speaking--I know a lot of you folks are well aware, the divide that’s based into pre-processing and post-processing, so pre meaning battery materials to black mass or an equivalent, and then post from black mass or equivalent to end product. When you look within those sectors of the landscape, if you will, on the pre-processing side, yes, we continue to see growth there. We continue to see also at the same time that we’re very differentiated, and today you would have seen we added even more color on the ways that we’ve continued to keep the network flexible and optimize all types of lithium-ion feeds. That continues to keep us ahead. Then on the post-processing side, and that of course is the real financial strategic driver here for Li-Cycle in addition to pre-processing, it continues to be, I’d say, pretty stark in the sense of we’re ahead on permits, we’re ahead on construction, we’re ahead on procurement - you would have seen that in the update today from Tim. You do see a lot of announcements from companies, but I think the reality of the lead time for permits and long lead equipment and also doing the base piloting work means that we have several years of head start. It doesn’t mean that we can sit here and be happy about that, it means we have to continue to keep the pace. Tim can add a little bit to that as well.
Tim Johnston: Yes, and I think one final point on this, PJ, and that is that you’ve been around the chemical industry for a long time, and one of the things that people are always cautious of is introducing new processes and technologies to any flow sheet, and so I would say when you’re looking at different things that are coming through, think about it from a total risk perspective in the sense that, coming to my point earlier, that we deliberately designed this flow sheet with robustness in mind, with proven principles, and so I think every time you think about it from the perspective of introducing new principles to processing, etc., you really need to make sure that it’s been properly risk-assessed from that perspective. We feel very confident in our process. 
PJ Juvekar: Great, thank you.
Tim Johnston: Thanks PJ.
Operator: Thank you. We’ll take our next question from Jeff Rossetti with Cowen. 
Jeff Rosetti: Tim, just a quick one. On Slide 15 you provided on the spoke pipeline, processing capacity, I was just wondering if there are any incremental revenue or costs associated with the ancillary tonnage that you provided.
Tim Johnston: Yes, good morning, Jeff. When it comes to the ancillary processes, what you can expect is that these have lower processing costs relative to the traditional mainline processes, simply because they’re simpler processes in themselves, typically single unit operation steps so less operators to run those operations. In terms of revenue, it depends. If you have a look at Slide 26, what we’ve tried to explain here is that as you produce lithium-ion batteries, you actually generate all different sorts of materials from this process, and depending on what that material is depends on how we process it, where it’s most optimal to process it. If you think about it from the perspective that each of these different feed streams have different metal content, the higher the metal content, the higher potential revenue for that material, so in essence it’s quite a good business for us today. It provides us flexibility and overall provides high quality returns on those operations.
Jeff Rosetti: Okay, thanks. And then Debbie, I believe you mentioned that in 2023, over the course of 2023, you’ll begin to build some black mass inventory for the hub. I just wanted to see if you could elaborate, if there is -- you know, how that cadence might be over 2023, and is there a certain tonnage that you would be gunning for relative to the 35,000 tons of black mass input capacity that the hub will have?
Debbie Simpson: Hi Jeff. Yes, there is two parts to it. So, I think I also said by the time we get to our March release, we’ll be in a position to give you some more color around our 2023 outlook, so I’d expect to hear more in that space [indiscernible].  You do actually -- you’re new in the pond here. This is exactly us planning ahead for having sufficient tons of black mass on hand, not just for running the hub but in the early stages where we’re commissioning and ramping up. So yes, that is the plan, and we should probably be able to share some more information with you when we get to March.
Jeff Rosetti: Okay, great. One more quick one, if I could squeeze one in. I think on Slide 7, you gave kind of an indication for November and December production, which seems to be at a little bit of a lower monthly run rate than Q4. I was wondering, are you taking the first Ontario Spoke offline, or is that at a later point?
Tim Johnston: Yes, I can take that one, Jeff. So, the November-December was partially impacted by we had a planned maintenance and upgrade process in Alabama, and so what you’re going to see is that our generation 3 plants, being Arizona and Alabama today and then coming up Magdeburg in Germany, and then thereafter Ontario, which is your final point, they have the biggest influence on our overall production for the quarter. And so having that downtime planned in December did impact that slightly. The other aspect is because we are still ramping up the facility, we’ve only just now at the start of January in Alabama gone to 24/7 operations with the addition of a fourth shift, so what you should expect to see is continued ramping up of the production over the course of the year.
Jeff Rosetti: Thanks very much.
Operator: Thank you. [Operator Instructions]  We’ll take our next question from Evan Silverberg with Morgan Stanley.
Evan Silverberg: Good morning, guys. In regards to the 1,600 tons of black mass produced in the fourth quarter, can you give any color on what the lithium input was to yield that 1.6, and what kind of differences are you seeing in the yield between each facility? Thanks.
Ajay Kochar: Yes, so I think broadly speaking, there’s two answers here. One is the range of the roughly 35% to 65% content of black mass, depending on the feed. I think hopefully today, with the view of the different streams for manufacturing scrap, you get a bit of a sense of how that can range, right? Obviously if you’re a cathode material or an electrode stack, as per the page in the appendix, then you’ll have a very high content of black mass. If you’re full pack, there’s other stuff in there, right, so you’re going to have a lower content of black mass, so that’s what we see. Roughly speaking, second, just take a rule of thumb, like half as a factor. It does vary, but take feed in and then take half of that, that’s probably a good general rule of thumb, if you will, for black mass output.
Tim Johnston: Yes, and then maybe just to build upon that front, because I think you were asking about the lithium content perspective, is that you can consider that one of the key constitutes of the black mass obviously is the cathode materials. And so, if you consider that the lithium content is relatively consistent across the cathode materials, our lithium content is relatively consistent across our black mass.  Today, we don’t get any value for lithium within the black mass because we sell it to traditional nickel and cobalt refineries. However, that’s one of the key benefits of the Rochester hub coming online, is that ability to extract and recover that lithium value. 
Evan Silverberg: That’s helpful, thank you. One follow-up. It was nice to see on Slide 22 what’s been done for Rochester and basically back into what’s remaining. What kind of lead time do you have on CapEx spend, so we can kind of get a sense -- obviously you’re not providing ’23 numbers, but trying to get a sense of where the capital outflows are going to be during ’23. Thanks.
Debbie Simpson: Yes, Evan. This is a big build year for us, so I think you can expect to see an acceleration this year in our capital spend as we get pretty serious about this construction, and also supporting getting to what we said, which is starting our commissioning towards the end of 2023.
Evan Silverberg: Thanks.
Operator: Thank you. We’ll take our last question from Brian Dobson with Chardan Capital Markets. Please go ahead.
Brian Dobson: Thanks very much for taking my questions. I understand your additional focus on Germany. You mentioned multi-year agreements with top-tier OEMs and battery makers in North America and Europe. As it pertains to Europe, are you partnering with a battery OEM or an auto OEM, and how do you see that partnership kind of benefiting both parties, and when can we expect to learn more about it?
Ajay Kochar: Good morning. I think that’s a good one for Tim to comment. As a general comment before Tim elaborates on Europe, I mean, look - take it back to the fundamentals here of why we’re building this spoke. It’s ultimately there to feed the hub. Right at the end of the day, it’s to really secure the resource. So, the whole point here from our perspective is to get great customer diversification, and we’ve seen a lot of diversification over the last year and a lot of growth.  That’s the bigger picture, and then Tim can comment a little bit on the Europe side and in general.
Tim Johnston: Yes, good morning. Just in terms of why we’re doing this, and if you think about it, I talked about it a little bit in the presentation this morning, and that is that Germany has really become the ecosystem, as you know, for not just vehicle OEMs but battery manufacturing in Europe as they begin to scale and ramp up.  Coming back to our business plan and strategy is that we have a combination of what we call merchant sites and co-located facilities. This of course is a merchant facility that benefits from supporting multiple customers, and this is really important in this stage of the development of the industry. As our customers begin to scale and grow their businesses, their volumes will also grow over time; but in the meantime, we can support them from these centralized facilities within the regions in which they are operating. What we don’t provide, typically we do not provide guidance in relation to individual customers, as we respect the confidentiality of the customers and the groups that we work with. I think what you can expect is this site will continue to support not just one customer within the region but multiple customers, and we’ll continue to evaluate additional options within Europe as our customers continue to build up and bring that scale to market that will require additional recycling capacity.
Brian Dobson: Excellent, thank you. Then could you expand a little bit on your partnership with VinES in Vietnam, how you expect that to position you in the region?
Ajay Kochar: Yes, for sure. Vin Group is the largest private company in Vietnam, and folks may be aware that VinFast is a relatively newer EV brand, car brand that has launched, actually, in the U.S., in North America. They’re in great things and they’re one of our great customers and partners. VinES is the battery group within Vin Group that is actually making battery cells, so they have plans and are already currently making battery cells in Vietnam. Then within North America, VinFast is also on track to be making vehicles and they do plan to also assemble packs, so that’s a classic example of a multi-pronged partner with numerous types of feed. They saw us as a strategic partner, and that’s what we announced back in October.
Brian Dobson: Excellent. Finally, if I can sneak in just one more, as you stockpile black mass ahead of the Rochester opening, do you anticipate that that stockpiling with interfere with any of your deliveries to current partners? Should we expect to see those decline as you hoard this after the opening?
Ajay Kochar: Yes, so in summary, no, it won’t conflict with any of our commitments. I think at the end of the day here, we’re taking an economic decision, as Debbie talked about, to get the best intrinsic unlocked value. As you’ve seen and what’s been interesting, with lithium prices staying relatively high and sustained, even though there might be some short term [indiscernible], that has shifted the value equation significantly, as you saw on Page 11, 70% of that roughly intrinsic value being lithium, so this is really the inflection point that our Rochester hub will drive. That’s the best decision mostly likely in most cases for us to retain that value but still keep some flow as needed for some black mass to be sold. Debbie, do you want to add to that?
Debbie Simpson: There’s two strands to it, Brian. As Ajay says, it’s the value. It’s [indiscernible] the industry to access the embedded value in the future, which is a very good economic decision, and then the second part is just operational planning and making sure that we build sufficient inventory to help with this new start to the hub.
Brian Dobson: Excellent, thank you very much.
Debbie Simpson: No problem.
Operator: Thank you. We’ll take a follow-up question from PJ Juvekar with Citi.
PJ Juvekar: Hi Ajay and Tim, I understand that you don’t get any value for lithium today because you started with cobalt and manganese smelters, but what happens to that lithium that is there? Who gets that value?
Tim Johnston: Nobody, PJ. In short, basically it goes into a high temperature smelter style arrangement, and the lithium is effectively converted to waste, whether or not that’s in the form of slag or simply burnt off as part of the off-gas from the smelter, so it’s lost. That was one of the key drivers why we started Li-Cycle in the first place, is that that traditional way of processing black mass in lithium-ion batteries doesn’t attribute the value to where the value is.
PJ Juvekar: Clearly. When your hub starts in Rochester, how much of the revenues would be lithium? Given where prices are and how valuable it is and it’s lost today, how much would that be as part of your revenues there?
Ajay Kochar: Yes, if you look at Page 11, PJ, with the breakdown, essentially, that bar chart that we’ve given for the black mass, the bar on the right of Page 11 shows 70% of rough value attributable to lithium and then 30% to nickel and cobalt. That gives you a rough indication, and obviously as prices move around, that may shift, but just roughly that gives you a bit of an idea.
Tim Johnston: Yes, and if you think about it today, keep in mind we don’t extract 100% of the nickel and cobalt value when we sell the black mass today. We’re only extracting a proportion of that, so the whole stack grows proportionately.
PJ Juvekar: Great, thank you.
Ajay Kochar: Thank you.
Tim Johnston: Thank you, PJ.
Operator: Thank you, and at this time it appears we have no further questions in queue. I’ll turn it back to Ajay for any additional or closing remarks.
Ajay Kochar: Thank you. To reiterate our earlier remarks, this past year was foundational for Li-Cycle and we continue to be excited by our growth prospects. We continue with the implementation of our spoke and hub strategy, keeping the Rochester hub on budget and schedule and advancing our spoke technology and processing capacity. We continue to mirror customer demand and expect continued execution of long-term arrangements with key global battery market participants. We also expect to drive further network growth with meaningful debt financing, and we look forward to updating you with more details in the first calendar quarter. Thank you for your interest and your support of Li-Cycle. 
Operator: This concludes today’s call. Thank you for your participation. You may disconnect at any time.